Operator: Good afternoon, ladies and gentlemen. Welcome to the Glass House Brands Fourth Quarter and Full Year 2024 Investor Call. Matters discussed during today's conference call could constitute forward-looking statements that are subject to the risks and uncertainties relating to Glass House Brands' future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Glass House Brands' periodic filings and registration statement. These documents may be accessed via the SEDAR+ database. I'd also like to remind everyone that this call is being recorded today, Tuesday, March 25, 2025. On today's call, we have Kyle Kazan, Co-Founder, Chairman and Chief Executive Officer of Glass House Brands, and Chief Financial Officer, Mark Vendetti. Following prepared remarks, management will open up the call to analyst questions. Also joining for questions is Graham Farrar, Co-Founder and President. And with that, I will turn the call over to Kyle Kazan.
Kyle Kazan: Thank you for joining today's call. Before discussing results, I'd like to refer to our fourth quarter and full year 2024 press release and financial filings where you can review results in greater detail. Additionally, I'd like to thank the entire team at Glass House for their continued dedication and execution despite the continued tumultuous market conditions in California. 2024 was a year of significant development and growth for Glass House. Commercial operation of Greenhouse 5 began in January, completing Phase II expansion at the SoCal Farm. The facility achieved its first full quarter of production and sales in the second quarter, and production volumes, quality and yields from this facility have all exceeded expectations. We began Phase III expansion last quarter, commencing the retrofit of Greenhouse 2 along with investment in ancillary support facilities. We expect initial revenues from Greenhouse 2 by the fourth quarter of this year with an incremental production contribution estimated to be 275,000 pounds in the first full year, bringing consolidated annual capacity to more than 1 million pounds of biomass. Importantly, Greenhouse 2 has existing supplemental lighting consisting of over 11,000 high-pressure sodium lights, creating a blend between greenhouse and indoor, making it possible to produce an even higher quality of flower, higher yield per square foot and more consistent production throughout the year. We believe the higher-quality flower will yield to higher pricing compared to our existing greenhouses. Additionally, the power needed for this lighting will be generated cleanly on-site via our three cogen facilities and solar panels. We have made considerable progress since we last talked regarding our Phase III expansion. We're now pursuing a strategy as our base case, which will allow us to cultivate cannabis in Greenhouse 2. In addition, we shifted our hemp license to Greenhouse 4 and are currently growing hemp-derived cannabis plants on a research and development basis. This approach will allow us to develop both revenue streams in parallel and potentially accelerate our growth. This gives us maximum flexibility. We have applied for cannabis licenses for Greenhouse 2, but still have a couple of months before we must commit to cannabis. As discussed earlier, we are on track to get initial revenues from Greenhouse 2 in the fourth quarter and the retrofit is proceeding on schedule and within our budget of $25 million to $30 million. Regarding hemp in Greenhouse 4, we are pleased with early cultivation trials and feel we will be able to grow 2018 US Farm Bill compliant hemp for export outside of California. In our market evaluation, we believe that the demand for hemp-derived cannabis nationally is massive and that we could sell everything we grow as the initial response from the hemp distribution channels has been very positive. Pending developments with the Farm Bill and a regulatory change at the state level, we are confident that opportunities to sell outside of California exist right now. Pro forma annual numbers for Greenhouse 3 with full CapEx build out would generate 240,000 additional pounds at current market pricing of $900 to $1,000 per pound. Using $900 would garner $72 million top-line revenue when fully mix adjusted at a 66% margin. Demand for our products should come as no surprise. We have always said the rest of the US wants California weed. We will provide additional insight into our strategy in mid-May when we review our first quarter results. We never lose sight of the fact that at its core, this is an agricultural business and everything in the cannabis industry starts with the plant. Our aim remains to use the added scale of each new greenhouse combined with process improvements and technology to reduce costs. From the farm to our retail stores and branded products to the C-suite, a focus on quality cannabis at the lowest cost grown at massive scale is our main focus, and that will continue with these expanded facilities. Our core tenant of low-cost operation is now more imperative than ever amidst persistent California pricing pressure and broader economic headwinds on consumer spending. Even with further headwinds coming as regulators are expected to impose an expanded excise tax on California retail sales, this summer, we have shown throughout our history that we are uniquely positioned to sustain and thrive in the face of these challenges. I am proud of our cultivation team's performance. Q4 cultivation cost per pound was $110 per pound versus initial guidance of $125 per pound. For the full year, cost of cultivation fell by 10% year-over-year to $123 per pound. The decline represents an acceleration in the rate of cost reduction versus 2023 when cultivation costs fell by 6%. Mark will provide guidance on cost and production later in the call. However, we expect further cost reductions this year as we keep getting closer to our $100 per pound target. Meanwhile, our quality and brands resonate in the market. With the 2023 year-end call, we announced three strategic product initiatives: one, a $9.99 out-the-door price for Allswell eight-ounce package of flower in our stores, that's right, $9.99; a retail dispensary strategic pricing plan; and our decision to prioritize focus on the top brands within the CPG business, namely Glass House Farms, PLUS Products and Allswell. One year later, results exceeded internal projections and growth rates accelerated as the year progressed. This is particularly impressive as California stays challenged. Our growth in all three segments of the company was achieved despite taxable sales in California declining by 10% year-over-year in 2024 versus 2023 per the CDTFA. The Allswell brand was a top three brand in unit sales in 2024 per Headset Data, and Glass House Brands was recognized amongst the LeafLink List '24 brand winners in California as a top two best-selling family of brands. Despite sales declines, consumer demand has stayed robust and buyers are unwilling to sacrifice quality even as wallets are pressured on ASPs. While most cannot, we are uniquely capable of succeeding in this environment as a result of our vertical integration and low COGS. As we look ahead, with experts calling for further economic headwinds to come, we believe the Allswell brand and our ability to provide a consistent low-cost offering drives outperformance. For PLUS, we are seeing promising early returns on efforts to enhance the offering, including new tins and [indiscernible], a consumer sampling program and even more emphasis on sleep gummies, including our recently introduced deep sleep gummies. For the fourth quarter, we had the best quarter for CPG wholesale revenues since the end of our distribution relationship with Herbl. It should be noted that for most of our multi-year relationship with Herbl, they purchased 100% of our products and handled all sales. We totally restructured and currently keep control of the CPG process as we handle all sales, credit approvals and only utilize 3PL services. CPG revenues versus last quarter were up 22% and up 12% for the full year 2024. This happened without adding any new sales staff as we maintain one of the most disciplined accounts receivable policies in the industry, which limited the number of dispensaries we are willing to do business with. We are working closely with customers who pay bills on time and who have proven to be good business partners, increasing sales of existing SKUs we have with them and closing category voice. In other words, we seek to grow with our customers who pay responsibly and help them win new business. I am also extremely proud of the work done by our retail team. When we first introduced the retail dispensary strategic pricing plan and the $9.99 out-the-door Allswell eighth, we knew that the retail business would suffer gross margin pressure from the lower pricing, but our goal was to offset any drag with increased foot traffic and volume sales so that gross profit dollars would grow year-on-year. In the fourth quarter, we met this goal. Retail dispensary revenue grew 23% year-over-year to $12 million and gross profit grew 4% to $5.4 million. This was done by the team's disciplined approach of keeping headcount growth to a bare minimum while revenue rocketed up. Importantly, the $9.99 out-the-door Allswell eighth attracts a younger customer demographic whose loyalty we think we won through our menu and positive in-store experience. As an on-time payer with 10 retail stores, our vendor relationships are also a differentiating factor allowing our buyers to renegotiate purchase agreements to lower COGS, improve gross profit and gain enhanced marketing support. By comparison, many pure dispensary chains struggle to keep popular products on the shelves due to account receivable holes. Looking ahead for 2025, we do not anticipate improvement in California pricing and with the challenging economic environment and higher base of comparison for growth created in the second half of the year, it is unlikely that we will match revenue growth rates of 2024. However, we are confident that growth in revenues and profitability is achievable in 2025 and beyond within our core business. Few, if any, of our peers in California and elsewhere in the industry can make similar claims. Before I turn the call over to Mark Vendetti, our Chief Financial Officer, I want to touch upon the recently announced refinancing of our seniors credit facility. I thank WhiteHawk Capital, whose senior secured loan was refinanced. WhiteHawk was a long-term partner in our development, having extended credit before the first greenhouse at the SoCal facility was planted and at a time when credit was difficult to come by for cannabis companies. Their trust in our vision is still sincerely appreciated. We are pleased to commence the new facility through another longstanding relationship with a bank who believes in our continued expansion and execution. Interest for the new loan is fixed at 8.58% for the five-year term, a rate which is on par with non-cannabis businesses. We believe the interest rate to be the lowest for any US cannabis company. With interest only payments until the third year, the refinancing saves roughly $13 million in principal payments, which would have otherwise been required for monthly payments in 2025 and 2026. With the maturity of the new credit facility pushed into 2030 versus late 2026 for the prior facility, the interest only payments and upfront cash generated from the refinancing, the total incremental cash generated between the two facilities is almost $50 million in 2025 and 2026. The cash savings enhances our financial flexibility to support further development initiatives and improve the liability side of our balance sheet. Even with the debt refinancing, cash preservation and cheaper capital remain a top priority, and we are committed to finding additional paths to further reduce cash outflow and improve our capital structure. Now that we have completed the credit facility, we will be focused on refinancing our high interest rate Series B and Series C preferred equity. Although it is too soon to discuss our approach, this is one of our highest balance sheet priorities in 2025. With that, I'll turn the call over to Mark Vendetti, our Chief Financial Officer, to discuss our financial results for the quarter in detail.
Mark Vendetti: Thank you, Kyle, and good afternoon, everyone. As a reminder, we provided updated guidance in February for the fourth quarter and full year 2024 as results exceeded expectations across key reporting categories, including revenue, gross margin, cultivation cost per pound, average selling price, adjusted EBITDA and operating cash flow. Revenue for the fourth quarter was $53 million, up 31% year-on-year and reflecting more than 20% growth in all three business segments. All three business segments achieved positive year-on-year revenue growth for all four quarters in 2024, showcasing the broad strength of our business for the entire year. Fourth quarter consolidated gross profit was $23 million or 43% of net revenue versus $18 million and 45% of net revenue in the fourth quarter of 2023. Adjusted EBITDA was $9 million in Q4, down from a record high $20.4 million in Q3, but up from $3.8 million versus the same period last year. For the full year 2024, revenue was $201 million, representing a 25% increase year-over-year. Growth was primarily from a 32% increase in wholesale biomass revenue, which accounted for 69% of consolidated revenues. We sold a record 568,000 pounds of wholesale biomass in 2024 compared with 339,000 pounds in 2023, reflecting a nearly 70% increase, which more than offset the roughly 21% decrease in average wholesale selling price per pound. Full year gross profit represented a record high of $97 million versus the reported $81 million in 2023, as importantly gross margins declined by only 1% despite the meaningful broader price declines in all three business segments. The resilience of our gross margin was enabled by a reduction in cultivation cost, tight cost management within retail operations and cost savings initiatives in our CPG supply chain and manufacturing processes. Our efforts to minimize operating expenses paid off again in 2024 as cash operating expenses, which exclude impairment charges, depreciation and amortization and stock compensation, were $56.9 million, increasing by only 3% year-on-year. This is the second straight year in which cash operating expenses were well below top-line growth. We generated a record high $40.3 million of adjusted EBITDA in 2024, an improvement of $15.8 million versus 2023 adjusted EBITDA of $24.5 million. Adjusted EBITDA margin expanded by 5 percentage points to 20% versus 15% in 2023. Full year 2024 operating cash flow was a record high $28.4 million versus $23.2 million in 2023, despite start-up working capital investment in Greenhouse 5. Turning to the balance sheet. We ended the year with $36.9 million in cash and restricted cash. This compares to $35.1 million last quarter and $32.5 million at year-end 2023. The company grew cash $4.4 million during the year despite spending $10.3 million in CapEx, $7.7 million on dividends and $7.6 million on debt payments. In the fourth quarter, we spent $2.5 million in CapEx, mainly for Phase III expansion at Camarillo. The company generated operating cash flow of $8.2 million. As Kyle previously highlighted, we announced the new debt facility earlier this month. This provided an immediate net cash inflow of $8.1 million and will permit meaningful cash savings throughout the life of the loan. Looking ahead, we expect first quarter total revenue to be between $42 million and $44 million, reflecting more than 40% growth compared to Q1 2024 at the midpoint with meaningful growth across all three business segments, led by wholesale. On a sequential basis, we anticipate continued gains in retail on strong execution with CPG and wholesale down in the quarter, but improved seasonal trends relative to the equivalent period of 2024. The average Q1 selling price for wholesale biomass is assumed at $195 per pound, down 31% versus the equivalent period last year, while Q1 '25 cost of production is projected to be $130 per pound. Projected cost of production reflects a 29% reduction to Q1 last year as we see continued benefits on expansion and greater efficiency. For the period, we expect to produce 145,000 pounds of biomass production, 136% increase versus Q1 last year. As a reminder, Greenhouse 5 came fully online in Q2 2024. We anticipate gross margins to be approximately 40%, down versus 42% last year and the Q4 level of 43%. In addition, we expect both adjusted EBITDA and operating cash flow to be in the range of $1 million to $3 million. By comparison, for last year, Q1 adjusted EBITDA was negative $1.6 million and operating cash flow was negative $1.9 million. We expect to exit the first quarter with a cash balance of approximately $36 million and to spend approximately $9 million of CapEx during the quarter, primarily on Phase III expansion. For the full year, we anticipate revenue to be between $220 million and $230 million, reflecting 12% growth at the midpoint, with meaningful growth anticipated for each of our segments, but overall led by wholesale strength. Full year adjusted EBITDA is expected to be in the mid-$40 million range with a margin holding relatively flat at the midpoint to 2024, while we anticipate positive operating cash flow to be in the low-$40 million range. We anticipate year-end cash to increase by approximately $30 million to $50 million. Our guidance does not include receiving any of the approximate $11 million of ERTC outstanding or any additional use of the ATM. Within our assumptions, wholesale biomass production will be 750,000 to 780,000 pounds, an increase of 27% from the midpoint with a cost of production approximately $112 per pound, which is a 9% decrease year-on-year. Average selling price is estimated between $215 and $220 per pound for 2025, down from $245 last year. Within average selling price and cost of production statistics, we anticipate a higher mix of trim this year reduces average selling price and production cost. Enhanced trim production is based on a process change in cultivation, whereby we were able to grow more extractable trim for sale, which would have previously been disposed of without adding significant additional cost in production. With this change, our mix of trim will increase to the low 50% range, up by approximately 6 percentage points from the prior year. Our pricing assumptions at the wholesale segment level of flower, smalls and trim are essentially flat to 2024. As a reminder, the 2025 guidance does not include any contribution from Greenhouse 2 as we continue to anticipate the first production output and initial revenue in Q4 2025. We will provide more specifics on our Q1 call in mid-May. And with that, I will turn the call over to Kyle for his closing remarks. Kyle?
Kyle Kazan: Thank you, Mark. Most listeners on this call will know that gaining the release for those incarcerated in federal and state prisons for non-violent cannabis offenses is a cause that I care deeply about. I am a proud Board member of MISSION [GREEN], which was founded and is run by Weldon Angelos, who served 13 out of a 55-year sentence for such an offense. On January 17, with just days left in Joe Biden's presidency, Weldon and I wrote a contributor guest column titled, "Biden Can, and Should, Pardon Nonviolent Marijuana Offenders" in MJBizDaily. We stated that President Biden's decision to pardon his son, Hunter, underscored a painful hypocrisy in our justice system and a failure to provide real reform by the administration. While Hunter Biden walked free, thousands of Americans remain incarcerated for non-violent marijuana offenses, despite the President's explicit campaign promises to address these injustices. In the waning days of his first and only term, Biden granted precious few commutations for those languishing in federal prison for marijuana, leaving families such as those of Parker Coleman, Jose Valero Jr. or Ali and [Jerry Heyman] (ph) in agony. The hypocrisy is too obvious to ignore. While state regulated cannabis companies like ours thrive in a federally illegal market, thousands of Americans remain in prison for marijuana offenses that are no longer considered crimes in most of the country. We concluded that if President Biden chose to leave this vital work undone and tarnish his legacy, we hope the next administration, led by President Trump, who is already committed to granting marijuana clemency, will finally right these wrongs. Two days after Trump's inauguration, Mike Tyson and Weldon Angelos followed up with an article and opinion piece in Fox News. Mr. Tyson and Mr. Angelos expressed hope that President Trump will fight our country's awful cannabis laws. In the article, they stated that Biden's wave of clemency at the end of his term largely bypassed cannabis offenders. Both Weldon, who was pardoned by President Trump in 2020, and Mike Tyson, who has known Trump for decades, attests that President Trump is a man of his word. They stated that they believe Trump has the vision, the courage, and the determination to finally reschedule cannabis, support [indiscernible] for the industry and grant clemency to Americans incarcerated for marijuana. I am encouraged by President Trump's appointment of Alice Marie Johnson as his pardon czar. I believe it signals that the Trump administration will indeed take a different approach to cannabis than the previous administration. Ms. Johnson is a criminal justice reform advocate who gained national attention after a life sentence for a non-violent drug offense was commuted by President Donald Trump in 2018. In appointing her, he stated "Alice was in prison for doing something that today probably wouldn't even be prosecuted. You've been an inspiration to people, and we're going to be listening to your recommendation on pardons." Ms. Johnson stated, "I've been working on this nonstop since my release. This is really a continuation of the work that I've already been doing. I brought many pardon cases for the president in the past, and one thing I can say about President Trump, he was very interested in their families. He wants to know if they have a solid reentry program in place. I want to make sure that I brought him the best candidates." She continued, "I have to make sure that the communities are ready to receive the released prisoners. My number one recommendation is safety in the communities. I want to make sure that they have jobs, that they are ready to go home to, that they have the ability not only for a second chance, but for their best chance of success." We fully endorse Ms. Johnson's statements, and we hope that the President's appointment of Ms. Johnson leads to the release and successful reintegration of the nonviolent cannabis prisoners currently in federal prisons. To that end, we are planning on hiring some released cannabis prisoners immediately like we did when Luke Scarmazzo was released from federal prison. We agree with Ms. Johnson and will do our part to hire these people who has paid such a high price for this plant. The Senate approval of Robert F. Kennedy Jr. To HHS Secretary and President Trump nomination of the new DEA Chief and the HHS Legal Counsel had the potential to be catalyst for our industry. But instead, it appears he has prioritized solving the country's opioid crisis over legalizing cannabis. We continue to hope that President Trump remembers his pre-election commitment to legalize cannabis and work for better financing services for the industry. A looming issue for the second half of the year is the likely increase in California's cannabis excise tax from 15% to 19% starting on July 1. This increase was mandated by Assembly Bill 195, which requires that beginning in the 2025-2026 fiscal year and every two years thereafter, California Department of Tax and Fee Administration, CDTFA, in consultation with the Department of Finance, must adjust the cannabis excise tax rate to generate revenue equivalent to what would have been collected under the former cultivation tax. The adjusted rate is capped at 19% of the gross receipts from retail sales. Because retail revenues in California have shown negative growth since 2022, the CDTFA is widely expected to increase the rate. In this price-sensitive market, which competes side by side with the illicit market, we expect that such an increase will likely drive more consumers to the illicit market and that the authorities will be better off concentrating on enforcement policies while reducing the excise tax or at worst, leaving it at the current rate. All key industry players are making their case heard in Sacramento. Taxes are already about one-third of what customers are paying when they buy at retail and we stand with the consumer and not wanting that proportion to increase. As Governor Gavin Newsom has stated many times that he is pro business, we are counting on him to use his business sense. I would like to announce the date of our fourth Annual Investor Sesh, which will be held concurrently with our Annual General Meeting on June 20 at our SoCal Farm. For those shareholders who have not attended in the past as well as those who joined in the past three years, I warmly welcome you to come visit our farm in Camarillo, and see what the future holds for Glass House. Our C-suite will be on hand to greet you and we'll be hosting tours of our Greenhouses and you'll be able to see our progress in retrofitting Greenhouse 2 as well as our early stage hemp trials. The last three years have shown that our transparency in being the only cannabis company to hold an in-person annual meeting can also be a fun time with food trucks, our products and the wonderful California weather just miles from the Pacific Ocean in Malibu. We hope all investors will join. Thank you again. And I will now ask the operator to open the line for questions. Before we open up for questions, Mr. Kyle Kazan would like to add his final statement. Please go ahead, sir.
Kyle Kazan: Thank you, operator. Within the last 24 hours, we signed a research agreement with the University of California at Berkeley. The agreement is for hemp-derived cannabis, CBD and other cannabinoids particularly for medical usages. We will share more in further detail in upcoming press release and on the Marc Cohodes podcast and Aaron Edelheit podcast. With that, I'm going to turn it back to the operator. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Frederico Gomes with ATB Capital. Your line is open.
Frederico Gomes: Hi, good evening. Thanks for taking my questions. Congrats on the big results this quarter. First question regarding Greenhouse 4 and the hemp trials there. Just to make sure I understood it correctly, are you still considering growing hemp in Greenhouse 2? And I guess, the second portion of this question is, if you decide to grow cannabis in Greenhouse 2, can you scale hemp in Greenhouse 4 to a commercial scale production? Thanks.
Kyle Kazan: Frederico, great to hear from you. I'm going to turn that question over to Graham. Graham, do you want to answer?
Graham Farrar: Sure thing. Hey, Frederico. Thanks for the question and for the congratulations. Yeah, so to clarify on that and maybe I'll step back just to remind people of the layout in our SoCal Farm, we have six greenhouses down there. Greenhouse 1 is currently our nursery. Greenhouse 6 is a flower cultivation greenhouse, which is the first one we brought on. Greenhouse 5 is the greenhouse that we turned on last year. This year will be our first full year of operation for that. That's another licensed cannabis cultivation greenhouse. Greenhouse 2 is the one that's currently being retrofit with the lights in it. And then, we have Greenhouse 3 and 4. At the end of last year, we terminated our lease arrangement with our tenant that were growing vegetables in Greenhouse 3 and 4, which opened up those greenhouses and made them available for our use. So, it's another step in our investment towards pursuing the hemp pathway, which was to let them out of their lease, so that we could use those. So, what we're doing now is we're continuing to pursue both strategies with Greenhouse 2 and Greenhouse 4 both growing plants -- or I'm sorry, both preparing to grow plants. Greenhouse 2 is currently being retrofit. We have applied for licenses for licensed cannabis, but we maintain the optionality on what we decide there basically up until the last minute. But I think the most likely pathway is that we will continue down the path that we know with licensed cannabis in Greenhouse 2 and in parallel continue to pursue the hemp strategy in Greenhouse 4. Now that we no longer have our tenants on-site and we have the entire place to ourselves, we can continue to expand under the license side, while still keeping our optionality and pursuing the policy changes and the operational research that we're doing on hemp. So, the real answer and short answer to your question is both.
Frederico Gomes: Perfect. Appreciate that, Graham. Second question on the potential increase in excise tax. Is that already baked into your guidance? And do you believe that this could play a role in maybe accelerating a rationalization of the market on the retail side or the cultivation side given that California remains very competitive and this would be, I guess, another challenge for operators? Thanks.
Graham Farrar: I can take that. So, the excise tax increase was initiated originally in the legislation when they removed the cultivation tax a number of years ago. And as Kyle mentioned, it was designed to maintain the tax basis as sales have fallen not so much by unit demand has stayed fairly consistent with slight growth, but it has compressed on price, something that overall we think is good for consumers. It has reduced the taxable sales revenue. So, if not changed, it is on track to increase the excise tax slightly. There's a number of groups that are out there right now campaigning not surprisingly keep that from happening, led mostly by the retail operators and the retail operator lobby groups. I don't foresee it having a very big impact in pricing. What I think the main detriment that will come from it is it will continue the migration of consumers from the license market back to the illicit market because it widens the spread on cost. So, I think it would be a real good gift to the illicit market, it would be a gift to the folks not playing by the rules. So, we're hopeful that there's intervention in there to change it, but overall don't expect it to have a large impact on pricing.
Kyle Kazan: And if I can add further to that. I know there's a lot of people out there that are trying to protect Gavin Newsom because this was written into law when they changed the cultivation tax over to retail because it was part of the law. But if you're the CEO of the state of California like Gavin Newsom is and you see that this massive industry that could be the by far number one agriculture industry in California languishing with too high of taxes to sit quiet and not handle this means that you're a terrible CEO. So, I'm going to call out Gavin to do the right thing here and take a leadership. I know the state is broke, but it is imperative. I agree with Graham. We can handle it, but it's yet one more thing that we have to handle and one more gift to the illicit market, which is insane.
Frederico Gomes: Great. Thanks for that. I'll hop back in the queue.
Operator: Our next question comes from the line of Andrew Semple with Ventum Financial. Your line is open.
Andrew Semple: Good evening. Thanks for taking my questions. Congrats on a very strong end to 2024. Obviously, the fourth quarter finished a bit stronger than we were expecting during the last earnings call, so that's great to see. First question would just be on the guidance for 2025, particularly the selling price guidance that you put out for Q1. It looks like that Q1 period, you're not expecting that typical seasonal balance that we usually get as we move past the Q4 period with the outdoor harvest. Maybe just want to -- maybe just wondering if you could elaborate a little bit more on what you're seeing in terms of market dynamics during the first quarter and kind of your thoughts on how pricing might continue to evolve in 2025 and whether you think it will continue to prompt industry consolidation.
Kyle Kazan: So, let me hand that over to Mark. By the way, great to hear you, Andrew.
Mark Vendetti: Thank you, Andrew. So, we've actually seen the typical improvement or bounce back in pricing in Q1 versus Q4. One of the reasons the guidance for Q1 is lower than the balance of the year was the fact that Q4 pricing was really, really difficult. So, although, we've seen the bounce back, we're still seeing flower prices in the mid-teens, lower than they were in 2024. So, again, we're seeing the seasonal pattern, but it's coming off a much lower base at the end of last year than it has in prior years. As we think about the balance of the year, we're still in a view that we'll see the seasonal pattern where again the front half is higher pricing due to the lower production related to no outdoor and lower mixed light production and then that drops in the second half. Within that, we expect our second-half pricing to be a little bit stronger than last year just because last year was so difficult. If you look across just the segments, flower for all of '25 versus flower for all of '24 and the same thing with smalls, we're actually assuming pricing is, I'm going to say, relatively consistent between the two years. So, we're not expecting '25 to be on average any better or any worse than '24, basically similar. Again, we discussed the bigger reason we're seeing a lower average selling price is because we're monetizing, be it, production more trim with little or no extra cost. And that's why we're able to keep the margin pretty much flat year-over-year as well.
Graham Farrar: Yeah. I can add to that, too, because I actually think it's a fairly -- it's an exciting development. Basically, the cultivation team has figured out how to take material that was previously ending up in the trash can and put it on the shelf and monetize it for extraction. And they've done it with a reduction in labor. So, what you see is you see an increase in the total pounds, you'll see a reduction in COGS, and you'll see a reduction, and that will more than offset the reduction in the selling price. So, we should see a net benefit from it as we basically find more ways to use the whole cow, so to speak. It is the least valuable segment of the plant. But again, we're basically turning what was a waste stream into a revenue stream without adding additional costs. So, kudos to them for the continual improvement there.
Mark Vendetti: And I'll throw out there that we're trying to be conservative. But if we're too conservative and you add an extra $10 to 700,000 pounds, that's $7 million that goes top-line to bottom-line. So, again, we want to make sure that we are being cautious so that we'd rather underpromise and overperform than the other way.
Andrew Semple: Got it. That's helpful. Thanks, everyone. And understand the dynamics between the mix shift in there. And then, maybe this is a related question in that sense, but just on the guidance for Q1 '25 production that would -- the year-over-year pace of cultivation growth in Q1 2025 would be the fastest year-over-year pace of growth since you've turned on Greenhouse 5. I'm getting the sense that a little bit of that's driven by what you're speaking to, which is driving more, I guess, yield and more biomass utilization out of the existing facilities. Also wondering if there's a bit of seasonal smoothing that's happening because of the supplemental lights in Greenhouse 5 and whether that's been a benefit and whether you plan to implement that in the upcoming Greenhouses.
Graham Farrar: So, a quick point of clarification, no supplemental lights in Greenhouse 5, that's Greenhouse 2. Everything that we're currently growing right now is produced just by the sun. So, Greenhouse 2 will be the first time that we have supplemental lights for that. I think you're seeing the 136% growth year-over-year obviously is fantastic growth. You're seeing two pieces in there -- or actually I'll say three pieces. You're seeing the first quarter of Greenhouse 5, so what we're comparing the prior year didn't have Greenhouse 5 in it. You're seeing the updated SOPs around monetizing the trim instead of putting it in the trash and then you're seeing the continued year-over-year improvement of the team and the operations. We've also had a fairly good start to the year weather wise, which was a bit of a drag last year. So, I wouldn't expect to see 136% growth continue, but it is a great start to the year and we do expect to handily beat last year on the overall full year basis.
Andrew Semple: Great. Thanks for the clarification there, Graham. I'll get back into queue.
Operator: Next question comes from the line of Luke Hannan with Canaccord Genuity. Your line is open.
Luke Hannan: Thanks. Good afternoon, everyone. I wanted to circle back on the hemp strategy here. Maybe it's a two-part question. First is just a clarification. Whatever it is that you're growing in Greenhouse 4 right now, I imagine it's relatively small as far as the amount of production. But is anything that is being grown in there and being sold, is that baked in the guidance? And is there room for that to potentially change depending on what decisions you guys are planning on making a couple of months from now?
Kyle Kazan: It's not baked into the guidance. Graham, do you want to give the details on the guys you're growing in Greenhouse 4?
Graham Farrar: Yeah, sure. So, thanks for the question, Luke. You are correct. It is a part R&D or trial preproduction testing over there. What we're doing is in parallel with pushing on the policy front, we want to make sure that we have everything lined up on our operations side. Of course, the beauty is that it's the same plant. It doesn't know what regulatory regime you put it under. So that means that all of the advantages that we have, the skill that our team has, the optimizations of our facility apply equally well to hemp under the Farm Bill as it does to cannabis under Prop 64. I think it's one of the really beautiful things about our positioning that we like a lot is that everything that we're doing right now is 100% portable over to either regulatory framework under the Farm Bill side of things. You also get to lose a lot of the regulatory, tracking costs, licensing fees, overhead on gross receipts taxes to actually end up with a lower cost over there and more flexibility. So, we like that a lot. What we are doing though is a very limited trial. We're optimizing our operations while pushing on the policy. And as Kyle mentioned, nothing there is accounted for in any of the revenue or guidance that we're giving. That would all be upside to that.
Luke Hannan: That's great. Thanks. And then, as a follow-up and then I'll pass the line, we'll stick with the hemp strategy here. So, recognizing there's sort of two different things going on. One is, it sounds like from a federal level, there's still going to be that ambiguity as it relates to the Farm Bill. And I imagine most other folks in the industry don't expect that to necessarily change in the near-term, but there are more states that are coming out and closing that "loophole" so to speak. I mean, what's your view on that and whether or not that presents any risk to the amount of potential customers that you have out there?
Graham Farrar: Yeah. So, I mean, you're highlighting one of the reasons that we're cautious when we do things. We're kind of we're the aircraft carrier. So, we like to go steadily and with certainty and proceed with caution. So, when we get where we're going, we know that we're in a good spot. I agree with you. I think the rest of us do as well. It's hard to call something a loophole after it's been left around for seven years. So, it doesn't appear to be that accidental. And so, we don't anticipate broad changes on the federal level at this point. We're definitely watching individual states. Texas is the bellwether. I think it is interesting. We shouldn't forget that the Texas Senate, this is the second time that they have passed an attempt to ban hemp and it failed the first time, right? So, much like in DC, if the House passing a bill counted on its own, we would have had Safe Banking nine times in six years ago, right? So the fact that they're set up in a bicameral fashion is not an accident. If you're looking for a bill that's progressive, look for the Senate to be the brakes. If you're looking at a bill that would throw us back into the dark ages of prohibition, look for the House to be the brakes, right? So, I think we'll be watching what the House does the last time the Senate passed it, the House stopped it and I think that would be the expectation there. Florida has conversations, but Florida has been having conversations. Arizona recently came out with some comments around things, Oregon as well. So, we're definitely watching these states. But on the other hand, you look to a state like North Carolina and they are very much having -- have the "open for- business" sign out there. If you look at Texas and you look at Florida, I think Texas is estimated as a $6 billion to $8 billion market with 7,000 hemp dispensaries run by small business owners and employing in the hundreds of thousands of people. To me, it seems really hard to put that toothpaste back in the tube. Florida has about 9,000 hemp dispensaries. Again, I think you have people getting used to these. Frankly, the Farm Bill looks much closer to the legalization that we envisioned many years ago. I think it's missing two pieces. It needs to be tested product, so people know what they're consuming safe and they need to check IDs. If you put those two guardrails around it, I think it's something that the entire industry should be rallying behind.
Luke Hannan: That's great color. Thank you very much, guys.
Operator: [Operator Instructions] And we have a question came in from Aaron Grey with Alliance Global Partners. Your line is open.
Aaron Grey: Hi, good evening, and thank you for the question. Just one for me here. Just wanted to go back in terms of the broader California market. Any indicators you might have in terms of how the market is evolving from a cultivator perspective? I know you guys keep an eye on licenses in the state even though that is a bit of a lagging indicator. Just any commentary in terms of how you're seeing that overall market evolve would be helpful. Thank you.
Mark Vendetti: Hey, Aaron. Mark Vendetti here. Always good to chat with you. So, we did see, I'm going to call it, a modest drop in the number of active cultivation licenses in Q4, about 140. What we are seeing now though is that many of the licenses appear to be moving from smaller licenses to medium or larger licenses. So, it's really hard to gauge the impact on total square feet under cultivation. So, it seems like the market has kind of moved to a little bit of a status quo or equilibrium. I don't think you're going to see I looked yesterday, I don't think you're going to see a big change in the number of active licenses through Q1. So, there are two things that are going to start to play out during the middle part of the year, even in the next couple of weeks. And Graham is closer to this, but Humboldt County is supposedly revoking licenses for people who are delinquent on their taxes and they started to do that. So that could take licenses out of the marketplace, don't know how many that would be. And almost 40% of the cultivation licenses come up for renewal during May, June and July. So that's when the big peak is. So, I think we're going to be in kind of the range we're in today, which is somewhere around 3,500 to 3,600 active mix light and outdoor licenses. And then, we get to mid-year and to the extent, we're going to lose any licenses, it's going to happen in May, June and July.
Aaron Grey: Okay, great. Thanks for the commentary there. I'll jump back in the queue.
Mark Vendetti: Thanks, Aaron.
Operator: And our last question comes from the line of Marc Cohodes with Alder Lane. Your line is open.
Marc Cohodes: Thanks guys. I can't wait for the spaces on Thursday. Congratulations on the Berkeley deal. I'd like to remind people that Governor Gavin Newsom sits atop the Berkeley Regents. So, signing a hemp deal with the university he sits atop on to me sends a terrific signal to where things are headed. I'm amazed that people are so shortsighted as to worry about quarter to quarter, day to day, week to week California pricing with what potentially is going on with hemp and the comment you made Kyle about the math behind it. So, Mark and Graham and Kyle, can you guys granularly get into the hemp economics, if you elect to move one, two or three greenhouses to hemp in a detailed way? Because all this short-term focus on month-to-month California pricing to me is, misses the big picture with what you guys are doing. That's my first question.
Kyle Kazan: So thanks, Marc. And also, thanks for your introductions that made that UC Berkeley deal happen. So, it's much -- very much appreciated. We're thrilled to have this deal. I'm going to turn that question that you asked over to Mr. Graham for our -- or Michael Jordan, as some people call him.
Graham Farrar: Hi, Marc. Thank you for the question. Yes, the hemp economics are very excited. As we mentioned, looking at Greenhouse 4, if we were to do a full retrofit on that, we believe that the revenue could be very compelling up to $72 million a year using the rough math there, which we believe we could do at around the 66% margin, so that would be even a better margin to our licensed cannabis. That's based on looking at the market out there. We see selling price for hemp around the $900 to $1,000 a pound range for bulk flower. If you look on the CPG and prepackaged side, you see something like $6 a gram in CPG products being able to sell that direct to consumer. Of course, with the Farm Bill is another plus because you can capture the full value chain. Certainly there's distributors out there as well that will take into a lot of the stores, but the economics are very compelling and at the end of the day that comes from the fact that it's our team doing what we've practiced for almost a decade on, which is growing the most best cannabis that's safe and tested for the least amount of money. California is the toughest place to do that. So, every other state that we look around, which at the end of the day is what the Farm Bill is about is getting access to those customers who want California grown cannabis and providing them better quality product for a better value than they're used to, which is a win on both sides of the equation.
Marc Cohodes: So, $6 a gram works out to how much a pound?
Graham Farrar: $6 a gram is about $2,700 a pound.
Marc Cohodes: And then, your guidance is at $900 to $1,000 even though you could sell it to consumer for $2,700.
Graham Farrar: Yeah. So, what we used is we use a calculating -- again rough top-line revenues. We looked at what we saw. We've done some analysis in the market. We visited with folks. We've had conversations with a number of distributors. And what we see is bulk cannabis, in the 900 -- bulk hemp, I should say, in the $900 to $1,000 pound range. And then, if you were going to finished packaged goods, it'd be more like in the $6 gram range. For reference, when we sell Allswell, that's selling for about $2 a gram. So that's an amazing value and doing great in California. And if we can meet in other states and look at what they're used to paying, we believe we can be very competitive in the market at $6.
Marc Cohodes: So, since you have hemp licenses, what would the full math be if you converted two of the greenhouses to full hemp? What would that math be?
Graham Farrar: I mean, I think you could ballpark the greenhouses as fairly equivalent to each other. So, if we believe we could do $72 million out of one greenhouse, you could double that for two for napkin math.
Marc Cohodes: So, if you were to do two greenhouses in hemp, it would roughly be $100 million of EBIT?
Graham Farrar: I'm going to disperse the EBIT question to Mr. Mark Vendetti...
Marc Cohodes: I'd rather use [indiscernible] numbers, right? I mean, the numbers I come up with are 50 for one. So, would 2 be 100?
Graham Farrar: I mean, I guess, I don't know exactly what math you're doing, but I know that we did our math based on what we believe one of those greenhouses could -- would produce and we got just about $72 million at a 66% margin.
Marc Cohodes: Okay. $72 million at 66% is like 50. So, 2 would be 100.
Graham Farrar: Yeah. I don't know, 95, but we're close enough.
Marc Cohodes: Okay. So, I think the question everyone is asking themselves is why are you even messing around with California cannabis at this point?
Graham Farrar: It is an interesting question. The California cannabis market has certainly presented its challenges. As we mentioned earlier, I do think that at this point, the Farm Bill plus the guardrails of product testing and checking IDs is much closer to the target that we all envision for what licensed cannabis should look like. If you think of the decision tree as you go down from the federal level, you could say -- you ask yourself was this a mistake? And looking at that and saying it's a mistake that's been sitting there for seven years, starts to get to be hard to justify that. Then you say, did they was it an accident that they added extra words to further, constrain what it was they were regulating. They could have just said THC, but they didn't. They said Delta-9 THC. And then, you look at around at all the companies. If you believe it's valid for beverages, it seems like you would believe it is valid for flower as well because it's based off the same language. The real -- the question that we're asking is not a capability question, it's not a demand question, it's a policy question. So, the question is within California, can we put together the safe harbor provisions like they have in other states that allow us to go things that are permitted in other states for export from California. And that is the real question of that we are working on and are in conversation with in combination with our operational testing and development. So, it's really a question of can we do it in California and export it to the states where it is allowed without California having a problem with it.
Kyle Kazan: And I'll follow-up -- Marc, just to follow-up on your question, because it's a good one, the -- and it's meaningful because we get asked it a lot. Right now, we have a good business here in California. We have the potential of having a great business nationwide. And at this point, until we fill up those last two greenhouses with hemp, there's no need for us to shut off what's already working. If we find that, hey, we're selling everything we're growing in Greenhouse 3 and 4, then it begs the question, do we just keep going? But let's also remember Texas and Florida and there's all kinds of policy questions we're watching. That said, again, right now we don't have to make that decision, but soon enough we probably will.
Marc Cohodes: Well, what's different today per your announcement is Gavin Newsom is now your partner through the University of California in the system. Before he wasn't your partner. So if I had a partner whose interest is selling hemp, which is what you're licensing from Berkeley, that to me is a game changer. I mean, correct me if I'm wrong or if I'm looking at this wrong.
Kyle Kazan: No question. And I think it's pretty obvious to everybody in the world that Mr. Newsome has higher hopes than just Sacramento. And so, we're hoping that he will put that great business hat on that he's used at his wineries to try and actually help out California businesses, including one in which you're right, he's the top of the food chain of the University of California, which is doing a recent who just did a research deal with us. So, you're seeing it the right way and we are in Gavin's ear and we're hoping that we can get him to see things the way you and us see it.
Marc Cohodes: Well, anyway, well done on the quarter, well done with the guidance, and I'm proud of you guys. Way to run the show.
Kyle Kazan: Thanks, Marc. We know that when we're on your podcast, it's not a little scheduled format like this. It's going to be much more free for all. And so, I think you said you're going to be swinging from the back foot. So that should be quite enjoyable for everybody.
Marc Cohodes: Yeah, I have a -- for those who don't know, I have a spaces with these guys at 11:00 o'clock Pacific Time this coming Thursday on, people call it X, I still call it Twitter. It's @AlderLaneEggs. So, it promises to be lively and I may pull some surprises for everybody.
Kyle Kazan: I think you're going to bring in two guys who were made famous by The Big Short that will also be on the call, too.
Marc Cohodes: It will be there.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.